Operator: Welcome to the West Pharmaceutical Services Third Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). This call is being recorded on behalf of West and is copyrighted material. It cannot be rerecorded or rebroadcast without the company's expressed permission. Your participation in this call implies your consent to our taping. If you have any objection, you may disconnect at this time. And now I'd like to turn today's meeting over to Mr. John Woolford from Westwicke Partners. Sir, you may begin.
John Woolford: Thank you, operator. Good morning everyone and welcome to West's third quarter 2014 results conference call. We issued our financial results this morning and the release has been posted in the Investors section on the company's web site located at www.westpharma.com. If you've not received a copy of this announcement, please call Westwicke Partners at 443-213-0500 and a copy will be sent to you immediately. Posted on the company's web site under Investors on the Presentation Materials tab is a slide presentation that management will refer to in their remarks today. The presentation is in PDF format. Should you require a link to a free download of software that will enable users to view the presentation, it's also available on the web site. I will remind you that statements made by management on this call and in the presentation will contain forward-looking statements within the meaning of U.S. federal securities laws and that are based on management's beliefs and assumptions, current expectations, estimates and forecasts. Many of the factors that will determine the company's future results are beyond the ability of the company to control or predict. These statements are subject to known or unknown risks or uncertainties, and therefore actual results could differ materially from past results and those expressed or implied in any forward-looking statement. For a non-exclusive list of factors which could cause actual results to differ from expectations, please refer to today's press release as well as any further disclosures the company makes on related subjects in the Company's 10-K, 10-Q, and 8-K reports. In addition, during today's call management may make reference to non-GAAP financial measures, including adjusted operating profit and adjusted diluted EPS. Reconciliations and limitations of the non-GAAP financial measures to the most comparable financial results prepared in conformity to GAAP are provided in materials accompanying this morning's earnings release. At this time I'd like to turn the call over to Don Morel, West's Chairman and CEO. Don?
Don Morel: Thank you very much John and good morning everyone. Welcome to West's third quarter 2014 earnings call. Joining me on the call today are West's Chief Financial Officer, Bill Federici; and Mike Anderson our President and Primary Investor Relations Contact. During our commentary today, Bill and I will briefly review our results for the third quarter, discus our expectations for the remainder of 2014, provide a snapshot of our revenue outlook for 2015, and highlights from our updated five year business plan. The PowerPoint slides we will use to support our remarks can be accessed through our web site at www.westpharma.com under Investors. If for some reason you cannot access the presentation, our discussion will cover the information both in this morning's release, and the slides. As you know on October 15th, we provided an early look at our Q3 earnings. Slide number 3 provides the high level summary of our financial performance during the quarter. Sales increased just over 4% from $341.8 million to $355.9 million. Our gross margin was up slightly to 30.9% and our adjusted operating profit was $45.2 million, an increase of just under 14% resulting in a 1.1 percentage point increase in our operating margin versus the prior year period. The improvement in our operating margin yielded adjusted fully diluted earnings per share of $0.44 versus $0.39 in the third quarter of 2013, an improvement of 12.8%. Slide number 4 summarizes some operating highlights in the two business segments; Packaging Systems sales increased modestly as a result of higher sales of Westar and Daikyo RS and RU components. From a geographic perspective, sales grew in North and South America; were essentially flat in Europe and down slightly in Asia. However, I should note that comparisons of our Q3 2013 results to Q3 2014 for the Packaging segment are clouded by the extraordinary third quarter we had in 2013, where high value product sales were up over 20% and overall sales for the segment were up over 14%. The real story for the quarter was the strong increase in proprietary product sales generated by the Delivery Systems group. Sales overall for the segment were up 14.8%, excluding currency effects, generated primarily by a richer mix of proprietary products, including SmartDose units for clinical trials, Medimop reconstitution systems and CZ vials and cartridges. The increase in proprietary sales was augmented by continuing solid demand for contract manufacturing services. Slide number 5 provides an update for several of our key expansion and device development programs. As previously reported, we have completed the new elastomer facility in China and the new seal facility in India. Both have begun commercial operations. Earlier in October, we announced plans for a new facility in Waterford, Ireland, to increase capacity for our proprietary rubber sheeting use in insulin packaging, and also advanced finishing operations for high value closure systems, targeted for the rapidly growing biotech market segment. The facility will be constructed in phases, as we see demand evolve with our current target to begin commercial sheeting production in the first quarter of 2018. We continue to make steady progress on our major device development program. CZ production of the 1 ml long syringe is booked through the early part of 2015, and we continue to see strong demand for CZ cartridges in support of our SmartDose programs. Stability trials underway by various customers continue to demonstrate excellent compatibility with a range of compounds. You should note that revenues during the quarter for SmartDose supporting clinical trials and customer testing exceeded $3 million. Turning to our outlook for the remainder of 2014, the October 15th release also provided an update for our full year guidance, which is summarized on slide number 6. We currently expect sales growth for the full year to be approximately 4% excluding currency, and earnings per share to be in the range of $1.77 to $1.82, largely as a result of the strengthening of the dollar against the euro, and an increase in our forecasted tax rate, as a result of selling more high value products in higher tax regions. As we look toward 2015, discussions with a wide range of customers lead us to conclude that the issues that impacted sales at the outset of 2014, are largely behind us as orders have begun to pick up and our firm backlog has improved. We currently believe sales will grow in the range of 5% to 8% during 2015 excluding the effects of currency. Sales will again be driven by high value products and sales of existing proprietary devices, along with ongoing development programs utilizing CZ and SmartDose. High value product growth in the Pharmaceutical Packaging Group is expected to range from 8% to 10% during the year. We also completed our five year plan review and update in late September, taking into account changes in the macro environment, healthcare and market dynamics, and what we believe to be the principle drivers of our business. The major trends we previously highlighted are strong indicators of the growth potential of our business. First, demographics and the prevalence of products disease [ph]. Second, the pipeline of complex biologics to treat diseases such as cancer, autoimmune conditions and diabetes; and finally the growing need for ultra clean packaging and sophisticated delivery devices, to optimize the containment and accurate dosing of these compounds. Late stage pipelines for biologics and monoclonal antibodies in particular are very robust. During the plan period, indications are very positive, that a number of new therapeutics will gain approval, such as PD1 molecules for various cancer indications, GLP-1 for diabetes, and the emerging class of PCSK9 agents for cholesterol reduction. We are in an excellent production to capture high value products and device sales for a substantial number of these new products, and deliver value to our shareholders. Indeed, virtually all of the new molecules undergoing clinical trials in these categories will utilize high value West or Daikyo packaging systems for vial and pre-filled syringe formats. We believe revenues will fall in the range of $2.1 billion to $2.3 billion by the end of the planned period, with improved in our operating margin to between 19% and 21%. We fully anticipate revenue growth to be driven by continued uptake and expansion of the high value product lines in pharmaceutical packaging, and rapid growth in the out years of proprietary devices. This dynamic growth will require additional capital investments in 2015 and 2016 of roughly $20 million to $30 million above our previously forecasted range of approximately $125 million to $145 million per year. As a quick summary, our performance in Q3 was solid driven by proprietary growth. However comparisons are difficult due to the extraordinary third quarter delivered by the Packaging Systems Group in 2013. Our backlog is significantly stronger at $349 million, and strong demand for CZ and SmartDose systems for clinical trials will continue. However, future demand will be dependent on customer plans and their filing timelines. We see no changes to our fundamental long term growth drivers and the strong and growing pipeline of biologics within our customer base should be a very strong revenue driver. We firmly believe that our 2019 revenue and margin targets that I just discussed are achievable. The Board and management team remain firmly committed to our strategic focus on ultra-clean high value packaging systems and unique delivery devices to meet the growing demand to cover our market and complex biologic molecules. I'd now like to turn the call over to Bill Federici for a more detailed discussion of our financial results. Bill?
Bill Federici: Thank you, Don, and good morning everyone. We issued our third quarter results this morning, reporting net income of $31 million or $0.43 per diluted share versus the $0.37 per diluted share we reported in the third quarter of 2013. Excluding the effect of non-recurring items in both periods, Q3 2014 adjusted diluted earnings per share were $0.44 compared to the $0.39 in the prior year quarter. A reconciliation of those non-GAAP measures is provided on slides 14 through 16. Turning to sales; slide 8 shows the components of our consolidated sales increase. Consolidated third quarter sales were $355.9 million, an increase of 4.2% over third quarter of 2013 sales, excluding exchange. Packaging System sales were $252 million, essentially equal to those recorded in the third quarter of 2013. As a reminder, last year's third quarter sales grew 14.7% and high value products grew 23%, driven by customer inventory management. It is a notable accomplishment to equal those sales in the current quarter, including high value packaging sales, which were about 1% higher than the prior year's quarter. Delivery Systems sales were $104 million this quarter, an increase of $13.5 million or 14.8% over the prior year quarter excluding exchange. [Indiscernible] driven by gains in both proprietary products and contract manufacturing revenues. Proprietary product improvements include $4.2 million more of administration systems products, and $3.4 million more of SmartDose sales to customer's preclinical and clinical trials. Sales of proprietary products comprised 27.4% of the segment sales in the quarter, compared to 23.6% in the prior year quarter. Contract manufacturing revenues grew $5.7 million excluding exchange, plus around higher volumes to existing programs. As provided on slide 9, our consolidated 2013 gross profit margin of 30.9% was just slightly ahead of the 30.8% achieved in the third quarter of 2013. Packaging Systems third quarter gross margin of 35.3% was $0.03 of a margin point lower than we achieved in the third quarter of 2013. While modest sales price increases largely offset rising labor and overhead costs, our products mix was slightly less profitable than the strong prior year quarter, resulting in the reduction of dose margins. Delivery Systems third quarter gross margin of 20.3% was 2.7 margin points higher than Q3 2013, due to favorable mix of products sold. As reflected on slide 10, Q3 2014 consolidated SG&A expense decreased by $100,000 versus the prior year quarter. As a percentage of sales, third quarter 2014 SG&A expense was 15.7% versus 16.4% in the third quarter of 2013. Lower incentive compensation and pension costs accounted for the majority of the decrease in SG&A. Slide 11 shows our key cash flow metrics. Operating cash flow was $136.9 million in the current year-to-date period, $4.8 million less than the comparable prior year period, during which, we received a $20 million licensing payment for SmartDose. Our capital spending was $84.8 million for the first nine months of 2014. We expect to spend approximately $125 million to $145 million in capital during 2014. Approximately half of our planned capital spending is dedicated to new products and expansion initiatives, including the initial capital to establish the pharmaceutical component manufacturing plant in Waterford, Ireland. Slide 12 provides some summary balance sheet information. Our balance sheet continues to be strong, and we are confident that our business will provide necessary future liquidity. Our cash balance at September 30th was $246.8 million, an increase of $16.8 million over the December 2013 balance. A large majority of our cash is invested overseas, and is generally not available to be repatriated for the U.S., without incurring net tax consequences. However, earlier this year, we repatriated approximately $28 million of offshore cash, which we will use to pay down debt. Debt at September 30th was $342.7 million, approximately $31 million lower than at year end. Our net debt to total invested capital ratio at quarter end was 9%, as it compares to 13.7% at the end of 2013. Working capital totaled $437 million at September 30th, $23 million higher than at year end. The majority of the increase is due to higher inventory and accounts receivable balances. Receivables and inventory turnover metrics are relatively consistent with the prior periods. Our backlog of committed packaging systems orders stands at $349 million at September 30th, above both year end and prior September levels. The composition of our backlog remains strong, with high value products representing approximately 45% of the orders, an increase of 2% over prior September's backlog percentage. Based on our year-to-date results and our analysis of the orders on-hand, we have updated our full year 2014 financial guidance in this morning's release. That guidance is summarized on slide 13. As we previously announced, our current guidance has been narrowed to $1.77 to $1.82 per share. The major factor reducing the top end of the guidance range, is the decline in the value of the euro versus the U.S. dollar. Our previous guidance was based on a $1.37 per euro rate, current guidance uses the market rate of $1.27 per euro. That change reduced earnings per share estimates by $0.04. Additionally, we have raised our effective tax rate assumption by one point to 27%. As outlined in this morning's release, our Board approved a share repurchase program, which allows us to buy back up to $100 million of our common stock in open market, privately negotiated transaction, and is expected to be completed by December 31, 2015. We expect the repurchase program will be funded with existing debt capacity and cash, if available. I'd now like to turn the call back over to Don Morel. Don?
Don Morel: Thank you very much, Bill. This concludes our prepared remarks for this morning, and we now look forward to answering your questions. Operator?
Operator: Thank you sir. (Operator Instructions). Please standby for your first question, which comes from Arnie Ursaner at CJS Securities. Go ahead please.
Arnie Ursaner - CJS Securities: Hi. Good morning.
Don Morel: Good morning Arnie.
Arnie Ursaner - CJS Securities: My first question is, regarding your Q4 on high end packaging being relatively flat, should we assume it's primarily due to the fact that you're up against another extremely difficult comp and not signaling any change in the underlying business?
Don Morel: No. I think what you are going to see is the usual end of the year stuff with our customers, in terms of ordering and delivery patterns. We are being a little bit conservative. Q4 really was a slightly weaker quarter in 2013 for HVPs in the third quarter. So we started to see the down trend at that point, and as a reminder, that's when the orders started to decline as a result of a detergent change in our process in Europe.
Bill Federici: Arnie, actually to correct you a little bit;, the Q4 growth we expect for high value products will be greater than what it was in 2013. 2013, as Don mentioned, we started to see the effect of customers working down their inventory balances. So actually, the comp to last year's fourth quarter is not nearly as tough for high value products. We expect about a 4.7% increase over that. And as we said, the backlog, if you look at it as of September, the composition of high value products in the backlog has actually increased by two percentage points over September 2013 to 45%.
Arnie Ursaner - CJS Securities: Next question is in your pharma Packaging Systems margin in the quarter was lower than we have modeled. And in your prepared remarks, you highlighted increased sales of the disposable medical device components. When you presented your slide with various balls or areas showing margin? That's the piece that's in the very lower left, that's the high volume but lowest margin business, is that correct?
Bill Federici: It’s a combination of two, it’s the standard product and the lower profit disposable medical device components. Those two are actually up in the quarter.
Arnie Ursaner - CJS Securities: Okay. And going back to this capital spending increase relative to let's say your five year plan, can you kind of walk us through the thought process on why the spending -- the incremental spending is going to be pretty significant for the next few years, but yet your views really don't accelerate till kind of 2017, 2018, 2019. Is that much of a leadtime you need to have to build this out, and maybe be more specific, what is leading you to decide you need to increase it?
Don Morel: There is really two answers to the question Arnie. So the first one on the pharmaceutical packaging side is that, as you know, we produce this specialized sheeting for insulin cartridges, and we only have a single facility that produces that material. So this is simultaneously a risk mitigation step for the major customers we serve, but also, to support growth we see in that marketplace through that five year period. So the first part of the facility in Ireland will be a sheeting facility. We expect to build that out in the latter years, as we see there is cleanliness requirement increasing and the focus on the very high margin, high valued products going into the biologics segment. Ireland was an ideal location for us, because of increasing investment by our customer base. When you look at the biologics production capability within that area, it has increased substantially and will increase in the future, as we see more compounds come out. So much of it is aimed at high margin, high growth areas, diabetes and biologics. The second is that, we are currently producing commercially the SmartDose system in Israel, and part of that capital is to begin to fit our commercial production in Arizona, as we see requirements not only for CZ, but for the SmartDose devices ramp up. We would like to have dual source of supply there for risk mitigation. So the reasons are all good, they are growth, and yes, we have to invest that far ahead of the curve, with validation, equipment delivery and all the reasons we have talked about in the past.
Arnie Ursaner - CJS Securities: Okay. And I am violating my only ask two question rules, but I want to ask one more real quick, you are tied to the price of Brent crude more than most companies which are West Texas [ph]. We have obviously seen a very dramatic lowering of oil prices. How should we think about that, as you go to your year end negotiations with your customers, and maybe remind everyone of the lag before you have it impacting your costs, or your contract pricing?
Bill Federici: That is exactly right Arnie. We have -- to answer the last part first, we have about a three month lag between when the actual price of Brent declines and when we start to see it come through in our purchases, and then approximately a two month delay between when we get it into our inventory, and when we actually end up selling it, and therefore it ends up in our income statement. So it's about somewhere between four and six months of a delay. The sharp decline that you're talking about, its really not as dramatic as some of the ones that we have seen in the past. If we go back to 2011, you will remember that Brent went from about $65, $70 a barrel, up to over $130 if I remember correctly, during that first half of the year, and then came down in the back half of the year. So with the decline, you should expect to see lower and you saw it in the third quarter, you saw it that our raw material costs were essentially flat to the prior year, you will see a little bit lower costs coming through, starting some time in 2015, probably the latter part of the first quarter. But as you're suggesting, about half of our Packaging Systems sales are under contract with our customers, and those contracts generally carry a CPI or PPI accelerator in them. So obviously, we would see lower ability to increase prices. All that said, when we look at 2015 and to come to the guidance that we gave you on the sales, we have not included a large increase for pricing. I believe we are about 0.5%, which will be below the five year average and certainly way below the 2.5% or so that we received in the 2012-2013 timeframes.
Arnie Ursaner - CJS Securities: Thank you very much.
Bill Federici: You're welcome.
Don Morel: Thanks Arnie.
Operator: Thank you. Your next question comes from Rafael Tejada at Bank of America Merrill Lynch. Please go ahead.
Rafael Tejada - Bank of America Merrill Lynch: Hi, good morning and thank you for the questions.
Don Morel: Good morning Rafael.
Rafael Tejada - Bank of America Merrill Lynch: Good morning. Just on the 2015 outlook on a constant currency growth, how should we think about the growth in packaging versus delivery?
Bill Federici: Basically, its going to be in the Packaging Systems side. High value products driving the bulk of the growth, so we expect high value products will grow nicely in that 8% to 10% range as Don described. We will see less growth coming from the standard and disposable medical device side of that business. For the Delivery Systems side, we see very solid growth in the proprietary delivery systems. That should be up solid double digits, similar to the 15% to 20% range, and as you can imagine for contract manufacturing, we'd expect something in the order of mid-singles, as a growth rate.
Rafael Tejada - Bank of America Merrill Lynch: Okay. So if I were to net that out, I mean packaging probably as a whole in the mid-single digits and delivery systems, somewhere lower -- low double digits?
Bill Federici: On the Delivery Systems, you are going to be less than a little bit double digits, because you had -- remember it's only -- the Proprietary Systems at only about 27% of the total.
Rafael Tejada - Bank of America Merrill Lynch: And we covered one of the trends in terms of the fluctuating raw material prices, but also wanted to talk about infectious diseases and just wondering what -- whether you're already -- there is some data out there suggesting potential stronger flu season this year, so just wondering if there is any -- if you're seeing any orders coming in? And secondly, just anything on -- in terms of potential tailwinds from travel activity as it relates to Ebola?
Don Morel: Yeah on the first question, I think the answer is no. Much of the flu stocks of course are produced in advance of the season. So those numbers have already been reflected in our sales. With regard to Ebola specifically, remember the trials often are relatively small volumes, and people are I think in many respects, playing catch-up. So even if you have a 5,000 patient trial, its not going to drive the needle, those are very-very small volumes. The answer is that yes, we are on some of the vaccines that are in development, but you are not going to see that drive the numbers.
Rafael Tejada - Bank of America Merrill Lynch: Okay. And just a couple other housekeeping items; we have seen the fluctuations in currency, just wondering what's baked in, in terms of headwind for sales in MEPS for Q4, and if you can talk about potential expectations for 2015?
Bill Federici: Well I will start with the end first; as we said, the number we recorded, the 5% to 8% for 2015 is an ex-currency number. So that hopefully will help you, and you can draw whatever conclusions you want. On the fourth quarter, we view as the $1.27 to the euro, which is not what it is this morning of course, things bounce around, and that's pretty close to what we believe the market is for the quarter.
Rafael Tejada - Bank of America Merrill Lynch: Okay. But to think of a potential 2% headwind on the top line for Q4, that would be a prudent number to use, just to make sure that --
Bill Federici: I don't think that that's an unreasonable expectation; especially versus our prior guidance. And Rafael, just let me finish; with the full year guidance that we took down narrowing the range, $0.04 of that is due to currency. Some of that is in the third quarter, some of it is in the fourth, so that gives you a gauge to put on in the fourth quarter.
Rafael Tejada - Bank of America Merrill Lynch: Great. And with the share repurchase being planned, how should we think about the deployment of that plan and I guess what has been the expectations for share comp for 2014 and then just finally -- just tax rate, we saw that pick up, just wondering if we should be using that sort of similar rate for 2015?
Bill Federici: The tax rate is -- what we are believing is somewhere in that blended year, somewhere in that 27% range, maybe although higher if we don't get beyond the extendable cash, that you know, has an impact on all manufacturers. And going forward, if you are using -- again, if they have the extendable cash, 27% would not be an unreasonable expectation going forward. On the share count, we do have an increase planned, about 0.5 million shares in the count. But the exact way that the share buyback program will hit, is really depending on -- from time to time, we will go into the market when we see the opportunity to go in and buy.
Rafael Tejada - Bank of America Merrill Lynch: Okay. That's helpful. Thank you very much.
Don Morel: Thanks Rafael.
Operator: Thank you. Sir you have no further questions at this time. (Operator Instructions). And we do have another question, this comes from Dana Walker at Kalmar Investments. Please go ahead.
Dana Walker - Kalmar Investments: Hello there. Good morning.
Don Morel: Good morning Dana.
Dana Walker - Kalmar Investments: Don, talk about zero defect? How is that a step function above what your customers have been focusing on, on the HVP fronts, and how does that change the product and/or service life that you're in a position to provide?
Don Morel: We and all of our customers are seeing a great deal of, what I would call, incentives from the regulatory bodies to look into the entire production process, in terms of continuous improvement. And as detection capabilities get better and better, when you inspect at the end of the line, you're seeing more and more things. So we look at it purely as an opportunity, and for us, it is a differentiator, and again, its driving a lot of the investments that will happen in Ireland in the second phase of that building. But as a service offering, it really comes back to the attributes that we would try to put into the closures from Westar, evolving all the way to the current version of [indiscernible]. Each one of those attribute gives us the opportunity to capture some value from what our customers ordinarily would have provided in their own production processes in prior years. So we don't think those pressures are going to relent. Indeed, its going to put pressure on the industry, to meet what is a rapidly increasing quality standard. So its an opportunity and a challenge all in the same nut.
Dana Walker - Kalmar Investments: Understood. Bill, as you update your revenue guidance, how much of that would you attribute to currency, and how much of that would you attribute to something else?
Bill Federici: Yeah absolutely, ignore currency in the growth that we gave you. The 5% to 8%, Dana, is a currency neutral number.
Dana Walker - Kalmar Investments: I am talking about Q4.
Bill Federici: Okay. Q4 we had between somewhere around $0.02 is what we are expecting versus what we had previously guided you to. And its $0.04 for the back half of the year between when we gave you guidance on July 30th or whenever it was, versus the $1.27 we are giving you now. So roughly half of that would be what's impacting the fourth quarter.
Dana Walker - Kalmar Investments: I am sorry, I should have been much more specific. I was focused solely on the top line.
Bill Federici: Top line; the amount that impacts it?
Dana Walker - Kalmar Investments: Well you brought your revenue guidance down moderately for PPS, how much of that is currency, how much of that would be something else?
Bill Federici: Okay. In terms of -- almost all of it is currency, and there is some -- obviously, there is some impacts from the business from looking at the backlog and where we ended the third quarter. But a good chunk of that is due to currency.
Dana Walker - Kalmar Investments: The committed backlog number that you provided, can you just quickly update us as to what the comparable numbers might have been earlier than a year ago at this time?
Bill Federici: Absolutely. If you look at the backlog at this year and at the end of September, it was $349 million. Now, you have currency impacts, impacting the comparisons, but I will give you the currency neutral numbers. Q3 2013 was $325 million rough numbers, and December 2013 was $315 million rough numbers. Now in those numbers or disclosure, there is a blanket order from one of our major customers, that impacts the comparability. So that's why, when we gave you the $349 million, we don't know exactly, we can't pull out exactly how much of that is in excess of what we had at end of September of 2013 or December of 2013, but it does impact comparability. So instead of being, for instance, up 14% versus December, we know its something less than that, its probably on the order of mid to high singles.
Dana Walker - Kalmar Investments: One last question, Don, you mentioned three new biologic categories that are appearing in the rearview mirror, or for that matter in the windshield, can you describe, timing-wise, when you would expect to see product flows from there and thus demand for your products?
Don Morel: Yeah, I categorize it really as two new, one existing. So the GLP ones have been in the market for a while, but we are seeing some new molecules coming down in that diabetes category and some new indication, several of them, I believe, have gotten approval of the weight loss indication, in addition to share level reduction. The PD1 is the new molecules for cancer. I believe it goes -- will roll out probably over the next two to three years. We know that several of our customers -- we know one customer that has an approval already in the market for lung cancer. But you will see sequentially approval for different types of cancer, as they complete the clinical trials and do rolling submissions for each one of those. There are several other PD-1s that are in the application phase have not received approval yet, but we think that's going to be a very-very strong category, because of the uniqueness of these molecules; and again, we are virtually on all of the packaging, that goes both in vial and syringe format. The final category, the PCSK9 molecules are completely new in terms of cholesterol reduction. Again, we are on the primary packaging for that. We will have to see how the device equation evolves, but each one of the categories, we believe presents not only primary packaging, but potentially downstream device opportunities.
Dana Walker - Kalmar Investments: As you have seen the GLP-1s roll out, has that proven to be incremental demand or higher value demand for you? Or does it displace something?
Don Morel: Its really hard to say. For us, it has been incremental up demand, especially in the vices where we contract manufacturer. It is difficult to call out the impact on the primary packaging side. We are not sure what goes to GLP-1s versus the insulins.
Dana Walker - Kalmar Investments: Okay. I had one last question, it has evaded me for the moment, so I will let go. Thanks.
Bill Federici: Thank you so much Dana.
Operator: Gentlemen, there are no further questions for you at the moment.
Don Morel: Thank you very much for your time everyone. We look forward to speaking with you again in February with our year end call.